Operator: [Abrupt start] And I'll be your conference operator today. All participants lines have placed in a listen-only mode to prevent any background noise. After the speakers remarks there'll be question-and-answer session. [Operator Instructions] Please note today's call is being recorded. [Operator Instructions] I would now like to turn the conference over to Nahla Azmy, Head of Investor Relations. Please go ahead.
Nahla Azmy: Thank you. Welcome to everyone joining us for our third quarter 2020 earnings call. We will start today with formal remarks from Belgacem Chariag, Chairman, President and Chief Executive Officer and Mike Crews, Executive Vice President and Chief Financial Officer. Then we will follow with a Q&A session. Please note that some of the information shared today is forward-looking information about the Company's results and plans, including with respect to the sale of our Performance Materials business, the strategic review of our performance chemicals business and our anticipated end-use demand trends in light of the challenges presented by COVID-19. This information is subject to risks and uncertainties that could cause the actual results and the implementation of the Company's plans to vary materially. These risks are discussed in the Company's filings with the SEC. Reconciliations of non-GAAP financial measures mentioned on today's call with their corresponding GAAP measures can be found in our earnings release and presentation materials posted on the Investors section of our website at www.pqcorp.com. With that, I'm pleased to turn the call to Belgacem.
Belgacem Chariag: Thank you, Nahla and good morning, everyone. As I hope you and your families are safe and well. First of all, let me tell you that we're very excited to connect with you today as we update you on our performance for the quarter and the most recent strategic moves. Beginning on Slide number 3, I would characterize our third quarter performance as one of continued executions against the backdrop of a macro environment that has improved, but is not yet out of the woods. Let's review highlights from the quarter. As always, we start with safety and I'm pleased to report that the results are outstanding. Our accident rates in the first nine months has been cut in half versus the same period last year. Our goal is to be in the top quartile of safety performance as reported by the American Chemistry Council and we're meeting that high bar so far in 2020. We continue to operate through the extended COVID-19 health risk environment with rigor, compliant with our own processes as well as global health guidance and recommendations. With global economic recovery occurring gradually, we carefully continue to optimize our supply capacity to match the evolving demand picture while effectively controlling cost. We're also ensuring that we maintain sufficient production flexibility to accommodate the continued rebound in demand. On the commercial side, we're pleased to announce the meaningful new contract in the refining services regeneration product line. This multi-year supply agreement starting in late 2021 positions us for a high single-digit increase for annualized regeneration services volume. We will supply this from our existing network having efficiently allocated capital to debottleneck our production capacity. Within performance chemicals, as part of the transformation plan. We announced that price increase across most product lines to reflect the commercial value of our products and services for our customers. The benefit of this announcement will largely be realized in 2021. In terms of financial results, our top line improved 6% from the second quarter as we expected. Adjusted EBITDA also was largely in line with the second quarter resulting in healthy adjusted EBITDA margin of 27%. The big news of course was on the strategic front. Earlier this month, we announced the sale of Performance Materials at an attractive valuation as well as a review of strategic alternatives for Performance Chemicals. These actions represent the most significant milestone to-date in our simpler and strongest strategy. This will in turn enable us to focus on higher margins and higher growth potential businesses that should drive higher company valuation. Turning to Slide 4 for more color on end user demand trends and beginning with Refining Services. Since June, global gasoline demand has been steady at above 90% of 2019 levels, recovering nicely from the trough in April. Gasoline inventories has declined and are now at the normalized five-year average. This was a result of high demand on increased miles drilling and some reduced supply as a number of North American refineries closed or idled their facilities. This recent tightening of supply capacity was incrementally positive for some of our customers in driving their production realization higher. By August, overall US refinery utilization recovered to about 80% before the hurricanes caused temporary shutdowns and lingering effects through mid-October. We still expect demand in the fourth quarter to finish in a healthy range of 90% to 92% of 2019 levels. As for our high-grade virgin sulfuric acid product line. Demand for mining came back stronger in the third quarter. We're also seeing industrial and automotive demand drivers improved as we enter the fourth quarter. In September, US automotive sales continue to increase to greater than 90% [ph] of 2019 levels. Moving to Catalysts. As mentioned in our previous earnings call. We anticipated a softer second half versus the robust for six months. Refinery customers continue to focus on cash conservation. Due to lower than typical utilization rates this year refineries are delaying the cost of catalysts that change out beyond 2020. I would add that the global refinery capacity shut-ins have affected three hydrocracking units in the industry, while we were [indiscernible]. Demand related to our emission control catalyst for heavy duty diesel applications remains well below prior year levels. Though, we're starting to see demand improving from trough levels as production returns. On the other hand for silica catalysts. Demand for our products continue to outpace the broader polyethylene market for packaging, containers and sales. We attribute this to our customized solutions along with our products being specified by the largest global producers. Turning to Performance Materials, in our highway safety road striping business. Demand in North America remains stable with the road striping activity typically viewed as low cost and essential for safety. We have seen some reduced striping efficiencies due to COVID related work restrictions in few states. In Europe, primarily Spain, France, Italy and the UK, demand has been shown steady monthly improvement. We expect fourth quarter demand to be similar to 2019 outside of our unusual weather impact. In our Engineered Glass Materials business, we saw steady demand improvement in the third quarter that met or exceeded our expectations for various end users. By September, volume has returned to 95% of prior year levels. Largely driven by general, industrial and construction activities, we expect this improvement to continue in the fourth quarter. I'll conclude with a mixed picture of demand trends impacting the end users of Performance Chemicals. We have been seeing surge in personal care and cleaning products for consumer use and industrial service and hospitality. In the third quarter, this subsided as expected. Also a vain on demand is a slower recovery from certain industrial segments such as pulp and paper as well as oil and gas. These trends are being partly offset by signs of rising demand for cleaning [ph] and general industrial applications as well as gradual reopening of food and beverage establishments under strict health guidance. So overall, we're optimistic that the trough is behind us. With the exception of catalyst which will have a delayed recovery timeline, the reopening and general economic recovery should benefit the rest of our businesses through at least the fourth quarter. Beyond that, the rate of recovery will continue to evolve in conjunction with the global response and containment of the virus extension. Now I'll turn the call over to Mike for an in-depth discussion of our results and outlook.
Mike Crews: Thank you, Belgacem and good morning. On Slide 5, you'll note this quarter was marked with solid financial performance that largely match our expectations. But for impacts related to Hurricane Laura and our hydrocracking order deferred in the fourth quarter that in total reduced sales by $9 million and adjusted EBITDA by $5 million. We saw top line growth in three of our four segments compared with the second quarter and we're pleased to post yet another quarter with healthy adjustment EBITDA margin to 27% on continued cost efficiency and resilient pricing. Now let's review each business segment and then the outlook beginning with refining services on Slide 6. Sales of $108 million were down 9% year-over-year largely driven by the past $5 million of lower sulfur and other raw material cost. We also saw reduced volumes for regeneration services as refinery utilization rates were negatively impacted by a combination of the pandemic and to a lesser extent hurricanes in the Gulf Coast region. I should note however, that regeneration services volume was up nearly 30% from the second quarter as gasoline inventories began to normalize on a rebound of economic activity. Virgin sulfuric acid volumes also saw a lift of 20% from the second quarter on improving industrial and mining demand trend. Adjusted EBITDA of $44 million declined 14% versus the prior year quarter largely on lower volumes while margins remained strong at 41%. Turning to Slide 7 for Catalysts. Silica catalysts sales of $23 million declined $2.5 million from the prior year. Double-digit gains in Polyolefin catalysts sales were more than offset by the timing of [indiscernible] relate order that was accelerated into the second quarter from the third. In the Zeolyst Joint Venture, sales of $27 million were about half of prior year levels. As we indicated on last quarter's call, lower utilization rates at refining customers are extending life causing hydrocracking change outs to be deferred out of 2020. In addition, demand for emission control catalysts remain soft and in line with pace of recovery and heavy-duty diesel truck reduction. Adjusted EBITDA of $12 million and margins of 24% reflected lighter sales volumes as unfavorable inventory cost absorption offset cost saving measures. Moving to Slide 8 for Performance Chemicals. Sales of $149 million were down 12% versus last year, reflecting lower volumes from weaker demand in detergents, cleaning, industrial and oil processing application. Since the second quarter sodium silicate sales showed double-digit gains driven by improving industrial and construction application. Adjusted EBITDA of $34 million was down 8%. But margins expanded 90 basis points as lower volumes were mitigated by favorable pricing cost actions and transformation project benefit. Finally on Slide 9 for Performance Materials. Sales of $105 million declined 9%. North American highway safety demand remains steady, however striping activity was slowed in some states due to COVID related work restrictions. This was partially offset by improving volume demand in both highway safety and industrial applications in Europe. Adjusted EBITDA of $25 million was in line with last year and margins expanded 180 basis points benefitting from favorable pricing and mix and cost initiatives. Turning to Slide 10 for our outlook. With solid execution and financial performance to-date, our 2020 outlook remains on track. On a consolidated basis and including Performance Materials for the year. We continue to project sales of $1.43 billion to $1.46 billion. The Zeolyst Joint Venture sales are still anticipated to be in the range of $120 million to $130 million. Our adjusted EBITDA range remains $410 million to $425 million. The margin is approximately 27% driving adjusted free cash flow of $145 million to $155 million. This excludes $18 million in proceeds from the sale of a Performance Chemicals product line earlier in the year. Beginning in the fourth quarter however, we expect performance materials to be reported as a discontinued operation. Consequently, we're providing 2020 guidance to reflect results from continuing operations that exclude Performance Materials. We are therefore targeting full year sales excluding Zeolyst JV sales to be in the range of $1.08 billion to $1.1 billion. We expect adjusted EBITDA to be in the range of $330 million to $345 million with margins of approximately 28% reflecting the relative margin strength of our continuing operation. Adjusted free cash flow is estimated to be in the range of $95 million to $105 million and as a reminder that also excludes the $18 million sale of the product line in Performance Chemicals. At this time, we're suspending adjusted EPS guidance for the year, given we're still working through the tax effects of the divestiture. We intend to use most of the net cash proceeds from the sale of Performance Materials to reduce that by approximately $460 million and project our leverage proforma for the sale to be approximately four times at year end. Finally, we noted on our call two weeks ago that we are expanding our capital allocation program and intend to deploy up to $250 million to a special dividend subject to board authorization. So to summarize our performance in action. Third quarter was largely in line our expectations. Margins remains quite strong for the quarter and full year and we're looking forward to completing the sale of performance material paying down debt and returning cash to shareholders. With that, I'll turn the call back to Belgacem.
Belgacem Chariag: Thank you, Mike. On Slide 11, I'll discuss the positive trajectory of PQ's strategic journey following our multiple [ph] announcements two weeks ago. This includes an agreement to sell our Performance Materials for $650 million, with expected close by year end. This brings an attractive valuation of 8.7 times in the last 12 months adjusted EBITDA and demonstrates that PQ's assets are more valuable than the current trading multiple of the company. We also announced the strategic review for Performance Chemicals which should the valuation warrant could result in a sale, in 2021. The purpose of these activities is to unlock greater shareholder value. It was notable that with the announcement of the sale of our longstanding Performance Materials business. It was recognized that we are selling our lowest margin business at a higher valuation multiples than PQ earns today. As these initiatives advance to their logical conclusions, our company will have taken major steps towards our simpler and stronger strategy. We'll have simplified the portfolio and strengthened the platform by emphasizing businesses with both higher margins and higher growth potential. At this time, I'd like to take you forward to our target portfolio and review, why we're excited about such an outcome. We will be focused on refining services and catalysts. Where we have leading businesses with excellent customer relationships, products and services that feed into the secular trend of the clean energy transition and the circle of plastic economy. So let's start with Catalysts on Slide 12. We strongly believe our catalysts business is well positioned for the future growth. We have leading technology and research efforts that will play a critical role in a sustainable economy. Though these trends are still nascent, our technical capabilities have created a leading position serving refining and petrochemicals manufacturing. Over the last 10 years, with high single-digit sales and double-digit adjustment EBITDA compounded annual growth rate in this business. We've earned an average of about 38% adjusted EBITDA margin. Going forward the growth trajectories for this business are supported by clear and powerful drivers. The use of Silica based catalysts to make stronger and lighter polyethylene products and the tightening environmental requirements for manufacturing and transportation vehicles. On Slide 13 for Refining Services. It is key to note, that by recycling sulfuric acid catalysts to our refiners. We are both helping refiners sustainability profile and supporting their production of high-octane fuels. Our competitive trends in this business include an unmatched asset base to serve US Gulf Coast and West Coast refiners on the long-term contract. In addition, this business is diversified by serving the needs of a broader set of industrial customers with virgin sulfuric acid. Over the last 10 years, this business realized mid single-digit compounded annual growth rate in both sales and adjusted EBITDA and delivered an average of about 32% adjusted EBITDA margin and well above that in the more recent few years. As the refining space consolidates, we benefit from being contracted with customer base that we believe is well positioned to serve an increasing portion of gasoline demand. Additionally, we will continue to grow by serving a diverse set of growing industrial applications with virgin sulfuric acid. Finally, we can leverage our position to further integrate with refinery operations to serve more of their needs as they prepare for the future. In conclusion on Slide 14, we are very excited about where we are heading with PQ. As we maintain an active agenda of initiative to drive performance and create value. Moving forward, you'll see us continuing to reinforce the track record of our solid execution in both operational and commercial performance. We will maintain the readiness and agility to continue to pivot with what is sure to be changing demand patterns. We will finalize the timing sale of Performance Materials and implement the expanded capital allocation program. We will advance the strategic review of Performance Chemicals and look to move in expedient way from the review to decision to execution and we'll fast track the reshaping our portfolio toward better margins and improve growth potential and the expanded multiple valuation that should result. That concludes the review of our progress and prospects and with that, we'll be happy to take questions.
Operator: [Operator Instructions] and we'll go first to David Begleiter with Deutsche Bank.
David Begleiter: Belgacem, just on the Q4 guidance. It appears a bit wide given you have October in hand and November where the books I guess are filling up. Can you talk about the upper and lower ends of the range and what that implies for more business momentum over the next couple of months?
Belgacem Chariag: Well based on what we saw in October, there's no surprises David. We continue to see that volume recovery. You might be nervous a little bit about the shortness that was on Q3. But that was not volume at all that was just event. We continue to see a recovery on volume. Our expectations remain accurate on what we should expect on Q4 and maintaining our guidance for the full year is a simple math and I think that should give you an idea on how Q4 should look like.
David Begleiter: Understood and just on Performance Chemicals [indiscernible] been about two weeks since the big announcements on Performance Materials. Any additional thoughts as you view - begins about Performance Chemicals feature in the portfolio?
Belgacem Chariag: No new thoughts, it's just a continuing execution of the plan. We have a firm plan. We have done the thinking already. We have done a lot of homework and now we're really moving into actions and all the components and steps that will lead us to where we want to be. I think we remain very positive about this process and we're moving right along.
David Begleiter: Thank you very much.
Operator: We'll go next to John McNulty with BMO Capital Markets.
John McNulty: So I guess there's a lot of moving parts when it comes to the refining services side of the business and with no refinery closures. But it sounded you're not necessarily exposed to any of them. You've got refiners running at or had been running at low rates, things are accelerating. I guess can you help us think about how you're thinking about 2021 in terms of the outlook for the refining services business?
Belgacem Chariag: Well it's a good question John. I just mentioned in my prepared remarks, how we feel about our position with the existing refining environment and the existing customers. We're connected to a very solid customer base. We have a very solid contract. The expectation have returned to pretty much normal. I said that we're going to be - our utilization will be at 90% to 92% level and we have seen that. If you remove the Hurricane impact that took place in Q3 since we're going on the right direction. So we remain very confident that we're going in the same direction, knowing the customer base we have and knowing of the strength of our virgin asset. We maintain the positive outlook for 2021.
John McNulty: Got it. Fair enough. And then it was the helpful on the cash flow guidance and particular on the CapEx side to see what it looks like excluding Performance Materials. With Performance Chemicals also looking like that, that maybe something that it doesn't necessarily stick around for much longer. Is there a way to cleave out what do the remaining business or what I guess we would call the core businesses? What's the CapEx outlook for them for 2020 and how much of that's maintenance versus how much of its growth CapEx? Is there a way that you can help us to quantify that?
Mike Crews: John, this is Mike. We haven't woken out the Chemicals pieces yet and quite another detail that we have for Performance Materials. If you look at the remaining capital, we're still running it about 80% of maintenance with about remaining 20% on growth. So as we get a little further down the line, with the strategic review. We'll be able to pull more detail around CapEx and other components for Performance Chemicals.
John McNulty: Got it. Thanks very much for the color.
Operator: We'll go next to Chris Parkinson with Credit Suisse.
Chris Parkinson: [Indiscernible] on your PowerPoint. Can you speak to the variants and entrants across your chemicals portfolio and just highlight anything that you think is particularly worth monitoring into 4Q and even 2021 just in terms of the divergence, is there basis on your products. And then you just also, just a very quick remark on what your own perception is of this segments long-term growth prospects. I would be greatly appreciated. Thank you.
Belgacem Chariag: Hi, Chris. On Performance Chemicals I think I cannot allude it to you, what is going on right now on the industrial side, there's a lot of recovery happening for the end users of our products. There's a lot of hospitality market that is returning as well in many places. Even though the recent news about the lockdown in Europe and other places get people nervous, on the longer run these lockdowns we believe they will not be the same as the previous ones that we've had early on. So I think if there's anything we need to take from these comments, that the Performance Chemicals end users return is happening and will continue to happen and maybe at different paces or speeds depending on where you are and what is it. So we see saw that, we saw - you saw our sodium silicate product sales have returned to a very good level which was an issue a couple quarters ago and a lot of the construction and coding products of recovery. So I think it might just hospitality that could be impacted in the next few quarters. But I believe, we will be fine. As for Q4, the quarter is - we're halfway through the quarter pretty much and I don't think we're going to see any negativity between now and the end of the year. Does that answer, Chris?
Chris Parkinson: Yes, it does, very helpful as always. As a thought on this, on switching over to Catalysts. Can you offer us some further insights in the conversations that you had with customers some of your peers have been highlighting potential trade down, change over deferrals that's still problematic? I mean that also could indicate that it could be pent up demand in 2021, just how should we be thinking this new perspective? Thank you.
Belgacem Chariag: Sure, thank you. Look we have been looking at Catalysts of course since June when things started going down a little bit with the activity in the second half of the year. We have a clear view of what's happening in 2021 up until in September of 2021, based on the orders. So we have an idea of what's been pushed out and how much and where. So we do believe that 2021 will definitely some recovery from where we are right now and most likely towards the end of 2021, we're going to see pending anything else. We're going to see a stronger acceleration of recovery. 2022 will be really the shift and there's an argument between where the peak is going to be at 2022 or 2023 particularly for hydrocracking. We believe it's towards the end of 2022, early 2023. We're probably going to see another peak. And as you noted, when you looked at our peaks. We look at our peak activity and the way we performed on the peak activity. For the last 10 years every time there's a peak on hydrocracking activity or in that sense. We deliver higher than the previous peak, the trough would have been higher than the previous troughs. So our expectation is when we get to the next peak, we'll be at a continued growth slope that is better than what we had before, so that's why we're very optimistic. This thing has never failed. It just keeps growing, peaks and troughs. We'll know when they come. We know the frequency and we know exactly how to handle them and we're excited about what's really coming in 2022 and 2023 more so than 2021.
Chris Parkinson: Great, thank you for the color.
Belgacem Chariag: Sure.
Operator: And we'll go next to Laurence Alexander with Jefferies. Please go ahead.
Dan Rizwan: Good morning, this is Dan Rizwan for Laurence. As you focus on sustainability, is there anything you need to be adjusted or reformulate on your production process for title [ph] to refining?
Belgacem Chariag: The way we look at our sustainability, first of all supporting the customer and the way to more sustainable better fluids and reduced emissions, that's our mission. That's why we service the customer. Our own operation is however our internal program on quantum reduction and on activity to protect the environment from what we do in our own operations. But we are definitely moving in the same direction with our customers with the recycling on the sulfuric acid and then with the increased capability and capacity of octane increase for the fuels and improving our position with the customers to move in the right direction of their sustainability, I would say a transition to better fluids.
Dan Rizwan: Okay, thanks. And then you mentioned that the hurricane is over the summer in September were somewhat of a headwind. I was just wondering at the recent one, I think there was one left this week, if that's causing any issues that you know as of right now.
Belgacem Chariag: No I'm not aware of any particular impact right now. Remember the one, the hurricane that took place in Q3 it has several impacts than usually in our customers than some on us a little bit, may on our customers and the result of slowdown in distribution and everything, that's what caused the misses that we've had. On this one, I'm not aware of anything substantial. So I wouldn't think it's a problem right now.
Dan Rizwan: Thank you very much.
Belgacem Chariag: You're welcome.
Operator: [Operator Instructions] we'll go next to Vincent Andrews with Morgan Stanley.
Angel Castillo: Thank you for taking our question. This is Angel Castillo on for Vincent. Just wanted to circle back I guess on Catalysts. I just noticed on your slide. In terms of the silica catalysts guidance for the fourth quarter, it looks like you have it kind of moving toward yellow after in a little bit - a good performance year-over-year here. In terms of the fourth quarter typically, is that slowdown from 3Q more of a seasonality or is they, just comes or is there something that's changing beyond that? That lead you to believe that was a slowdown here on the fourth quarter.
Belgacem Chariag: That's a great observation. I'm glad you're looking at the colors. We believe that yellow color is just the stabilization. It's not going to grow because we've had a tremendous run previously. So it's a benchmark to the past basically. So we're confident that the overall growth of silica catalysts will continue to be high single-digit and then we - into the future and then we're confident that is a good position to be right now. So I would just say, that yellow is not a drop in market demand. It's just a benchmark to where we were before over a very strong period of time of that, the benchmark comparison color post. If this helps.
Angel Castillo: Yes, understood. That's very helpful. And then on the performance chemicals side, I think you noted North America highway demand perhaps slowing down a little bit because of COVID restriction and as I think about 2Q, it seemed like that business did just fine with the lockdown restrictions during that time. So could you just talk about what's changed in that business to your point on maybe lockdowns now are different than the past one? Or is there different at the government levels, local government level that you're seeing that, you need to believe that things are changing and how they're approaching highway striping write-downs?
Belgacem Chariag: That's a good question. This is not related to lockdown. This is related to operational procedures. You're talking about striping on highways and as you're striping different states have different policies and standards on, the number of people on location, their frequency, their timing and how they do that. That caused a little bit of precautious process that allowed kind of created a slowdown in certain states. But you know we operate in many states. So in average, even though we saw that we continued to see a strong practice in results in the other states. So it's really nothing to be concerned about as related to lockdown. It's just the way states implement health procedures on the number of people on location and how they execute, that's all, nothing else.
Angel Castillo: Okay, great. Thank you.
Operator: [Operator Instructions] we'll go next to Jeff [indiscernible] with JP Morgan.
Unidentified Participant: I have a question about your Zeolyst joint venture. If you wanted to exit that joint venture, would Shell have a right at first refusal?
Belgacem Chariag: Well we're not at that stage of - Jeff thank you for the question first. We're not at that stage of having that conversation. So first of all, let me remind you that. The value of our partnership is the confidentiality of expertise with innovation, commercial and operational and we think that this combination allows both of us to lever something, the sheer leverage is PQ's expertise in Zeolyst Technologies for emission control primarily and we leverage Shell's expertise in hydrocracking and then maximizing yield in gasoline and distillate. At this point we continue to see more advantages to maintaining the structure. We think there's a tremendous growth potential both on the volume perspective and also on the technology and collaboration perspective. So we're really not talking about that conversation and that's all I can say about this for now.
Unidentified Participant: Okay, do you see the hydrocracking market is being pretty dead for 2021 and picking up in 2022 or do you think that there can be more activity next year?
Belgacem Chariag: Fully dead, is a big statement. I don't think it's going to be pretty [ph] dead. I think it's going to be an improvement over what we're seeing right now. So 2021, if you want to draw chart of what hydrocracking - what I think personally hydrocracking, use one of the low point where we are today and you draw slope. It depends on what happens, that slope could be stronger or lower. In Q 2021, 2022 and 2023, that's how we see it and we're confident based on the orders we're getting for 2021. We think that recovery is happening and we wait and see how that turns out at the beginning of the year because we have a view of six to eight months or to nine months of orders and our view of the market going forward seems to be accurate for now.
Unidentified Participant: Okay, great. Thank you so much.
Belgacem Chariag: You're welcome.
Operator: There are no questions at this time. And this conclude today's program. We appreciate your participation and you may now disconnect.